Operator: Greetings. Welcome to Kandi Technologies First Quarter 2024 Financial Results Call. [Operator Instructions] Please note, this conference is being recorded. I will now turn the conference over to Kewa Luo, Investor Relations Manager. Thank you. You may begin. 
Kewa Luo: Thank you, operator. Hello, everyone. Thank you for joining us on today's conference call to discuss Kandi's results for the first quarter 2024. Earlier today, we issued a press release covering the results. You can find a press release on the company's website as well as from the newswire services. On the call with me today, are Mr. Xiaoming Hu, Chairman of the Board; Dr. Xueqin Dong, Chief Executive Officer; and Mr. Alan Lim, Chief Financial Officer. Dr. Dong will deliver prepared remarks in Chinese, which I will then translate. After that, we will have a Q&A session.
 Before we continue, please note that today's discussion will contain forward-looking statements made under the safe harbor provisions of the U.S. Private Securities Litigation Reform Act of 1995. Forward-looking statements involve inherent risks and uncertainties. As such, the company's actual results may be materially different from the expectations expressed today. Further information regarding these and other risks and uncertainties is included in the company's public filings with the SEC. The company does not assume any obligation to update any forward-looking statements, except as required under applicable law. Please note that unless otherwise stated, all figures mentioned during the conference call are in U.S. dollars. With that, let me now turn the call over to our CEO Xueqin Dong. Go ahead, Dr. Dong. 
Xueqin Dong: [Interpreted] Hello, everyone. I'm Xueqin Dong, the CEO of Kandi Technologies Group. Welcome to today's conference call. We are pleased to report a solid start to the year, with total revenue for the first quarter, approximately $20.7 million and net income around $0.8 million. Despite some fluctuations in sales and overall income due to the adjustments in our sales strategy, our expansion in the North American market is progressing smoothly through collaboration with large nationwide chains. We have also been advances in the Southeast Asian and European markets, laying the groundwork for robust sales in upcoming peak season. It is with pride that we highlight our stable balance sheet and healthy financial condition. Additionally, we have repurchased 564,302 shares this quarter, reflecting our confidence in the company's future growth. 
 Currently, we are actively refining our product portfolio. Already in the first quarter, we have begun rolling out our rechargeable AA batteries to the market. Looking ahead, we are excited to introduce starter batteries and a more competitive lineup of all electric off-road vehicles and electric water sports products. We anticipate these new products will significantly drive our sales revenue upward. At the same time, we are gearing up to launch our limited edition golf cart collection. This unique series created in partnership with the National Football League and Lowe's, will feature branding for all 32 NFL teams. This initiative is a clear indication of our confidence in our future growth and our steadfast commitment to delivering value to our shareholders. I am confident that our strategic adjustments will garner the outstanding and support of our shareholders.
 Now we will move on to the Q&A session. Chairman Hu Xiaoming and I will answer your questions. And Ms.  Kewa and Mr. Alan will provide translation for English questions. Please go ahead and ask your questions. 
Operator: [Operator Instructions] Our first question is from Michael Pfeffer with Oppenheimer & Company. 
Michael Pfeffer: On the year-end 10-K press release, it was good to see the CEO for the first time mentioning Lowe's and making what appears to be an attempt at a very positive comment for the balance of this year. However, I assume due to a translation error, which should have been a positive statement ended up putting a negative spin on the stock that started the severe price decline. Management was immediately notified to the error, which should have been immediately corrected but instead chose to ignore it. Here is an excerpt from the PR that contain the confusing error. Do you want to just translate that quickly?
 Dr. Dong, CEO of Kandi commented, we acquired Northern Group to expand our sales channels. Moreover, we further strengthened our partnership with Lowe's expanding to more than 10 supercenters in 2024 and thereby broadening our market coverage in North America. We're proud to return to profitability in 2023, marking an important milestone in our development journey. Lowe's refers to each of its 2,500 stores of supercenters in their advertising and promotions. The PR in question was the first time Kandi has even admitted in a PR that Kandi was stealthily doing business with Lowe's since mid-'22. Without correcting that error in the PR, it gives an impression that Kandi is excited about Lowe's adding another 10 of the supercenters. When in reality, Kandi at that time had long since opened up all of its 2,500 stores based on store managers' discretion by last year's end. Please translate that.
 Also on the last conference call, Mr. Hu in response to questions stated. So for this year, on top of what we are working with the Lowe's superstores, we have now added the corporation with more than a dozen or so of the retail chains with different scales currently are working on child sales in those superstores. In addition, on top of the cooperation of the supermarket, we are working with the dealership with more than 300 partnerships during '23. And in this upcoming 2024, we are trying to work with more than 1,000 dealerships in the U.S. market. If you can just translate that and I'll get to my questions quickly.
 Okay. So the questions. Since Kandi products were already available in all Lowe's supercenters at the time of the prior PR quote, what specifically was the CEO attempting to refer to with this partnership with Lowe's expanding to more than 10 supercenters in the 2024 "to broaden market coverage." 
Xueqin Dong: [Interpreted] So first of all, when we -- in the last conference call, what we meant about over 10 of the retail partners we are talking about, Lowe's is one of the retail partners. And then speaking of Lowe's, just want to clarify that we actually don't have the access to all 2,500 of them that rather this portion of [indiscernible] is still expanding based on our negotiation and collaboration. 
Xiaoming Hu: So -- and Mr. Hu would also like to add more color that, as I just mentioned just now, we [ don't ] really have access to all 2,500 of this retail stores of Lowe's. And currently, we have roughly 500 stores although maybe not every -- those of the 500 stores we carry all of our products. It depends on the category of the products and type as well. But -- and by the next few months, we hopefully will expand the retail stores working with Lowe's up to like 600 or 900 [indiscernible] by the end of the year. We expect the stores that will cover our products will be over 1,000. And of course, that's our plan for now. So you're going to be clear, on the collaborating scale with them. 
Michael Pfeffer: That's give some clarity. Regarding Mr. Hu's comment on the last conference call was this dozen or so the retail change with different sales. Currently, child sales -- like confused with the CEO's comments about the Lowe's superstore sales in the year-end PR. So can you just kind of explain a little bit more about that comment? Was it related to the child sales on the Lowe's superstores? 
Xiaoming Hu: [Interpreted] So first of all, I believe that there have been no such confusion because we keep stretching that over 10 of the retail partners that we are working with and Lowe's is one of them. As for the list of those retail partners of the magic retailers that we're working with, you can refer to the miss on our Kandi America website. And speaking of the child sale, we are not quite sure if you mean the scale of the sales being small? Do you mean the sales of the children products? Currently, we are selling all kind of our outdoor off-road -- like in the golf cart, the UTVs and ADBs with those partners. Hoping it addresses your question. 
Michael Pfeffer: Yes, just I think the child sales was sort of your quote. So I guess trying to understand maybe what type of products are the child sales? Do you -- can you delineate that? Or is that not what you meant by child sales? 
Kewa Luo: Can you remind us where the quote is? When we -- when you're referring to child sales? 
Michael Pfeffer: Yes, I'll have to find that. 
Kewa Luo: Okay. 
Michael Pfeffer: Yes, here it is -- yes, I think it's a quote when -- So I said it on the last conference call, Mr. Hu in response to question stated: So for this year, on top of what we're working with the Lowe's superstores, we have now added that corporation with more than a dozen or so of the retail chains with different scales. Currently, working on child sales in those superstores. I believe that's a quote from Mr. Hu, if I'm wrong, I'm wrong, but that's what I... 
Kewa Luo: During the call not in the press release... 
Ming Jehn: I think we mean trial, not the child. The trial sales. 
Michael Pfeffer: Trial, that clears it up. Trial sales, understood. Okay. Trial. 
Kewa Luo: Yes. That's right. 
Michael Pfeffer: That makes it clear. Maybe it was translated incorrectly in that quote. Thank you. 
Kewa Luo: I'm sorry, let me translate this first. [Foreign Language] Okay. I'm sorry. Operator, yes, we can take next question. 
Operator: Our next question is from Steve Miller, private investor. 
Unknown Attendee: Just with regard to the previous question that you guys fielded, if you would resume fitting out a transcript of your -- of the Q&A call rather than rely on third parties, that would give you an opportunity to clear many misstatements or mistranslation. Otherwise, this is what happens. People are taking statements that in fact [indiscernible]. 
 Maybe my first question is regarding the Lowe's NFL [ pick up. ] Last week, Lowe's added some promotional material on their Google sponsored ads as well as adding a new website landing page on their e-commerce site, promoting a new line of Kandi golf carts as part of Lowe's [ $100 million ] a year NFL exclusivity sponsorship program. From the posting each of the 36 NFL teams would have their own custom-branded candy golf carts going on sale in August for the full season, can you go and translate that?
 So this weekend, I assure you all shareholders were truly excited when they saw 3 pages on the Lowe's website showing the Kandi customized carts for the 36 NFL teams inviting advanced orders for delivery in August. However, [indiscernible] on Sunday or Monday, it appears Lowe's took down those 3 landing pages. Clearly, Lowe's have been working on this web design for this project for some time and rightly so as is a terrific idea. Meaning suddenly taking down as a surprise as was the taken down  post  on Kandi America's own Twitter home page. Yet today, you probably reveal the Lowe's NFL linkup in your press release. Go ahead and translate that.
 Okay. So my question is, what's the status of this new Lowe's NFL golf cart offering? It's a terrific idea and should be heavily promoted by Kandi as well as Lowe's as it is a huge attention getter, not only will it help Kandi sales, just as important to your credibility. That's my question. 
Unknown Executive: [Interpreted] So first of all, there are actually only 32 teams in NFL and Lowe's is the exclusive partner of an NFL to sell the golf cart branded by Kandi. And as far as the website you mentioned, we believe that there are some adjustments to be taking care of. And we estimate that all the information on the website will be shown again with such news and product information by next week. Indeed, that is a very big deal for us, Kandi, and hopefully, that can promote our brand even more better. 
Unknown Attendee: Great. And then my related question, what other products can we expect here to be selling through the Lowe's Kandi NFL relationship? 
Unknown Executive: [Interpreted] Currently, the products being sold between Lowe's and NFL of the brand under Kandi is the Golf carts and we will see how it develops in the future, but that's the product for golf carts for now. 
Unknown Attendee: Okay. My next question is regarding your consultant and regarding the proposed spin-off. On the past 2 conference calls, questions were asked about a statement in your 10-K disclosing a consultant who was hired back in May of 2023, with the contract to terminate this once. The consultant was paid 300,000 shares of Kandi stock worth $1 million. Alan had responded that the consultants hired for your plans and of the U.S. subsidiaries as one separately listed public company. Nothing else is said. Go ahead and translate that.
 If I understand your intent, it would be a NASDAQ listing, Kandi would retain a majority share position. The spin-off with release value of Kandi not represented in the current fair price and allow it to book as a separate company its own sales and P&L. Based on NASDAQ minimum prices and market cap, however, logic would seem to make it mandatory, that Kandi stock price have to be trading at least 3 or 4x higher than currently to get an underwriting sponsor firm to manage the IPO. Kandi shares has done nothing but going down since the consulting was higher. Can you go and translate that?
 Okay. My question is, what value has the $1 million consultant contract brought to Kandi, given where Kandi's share price stands today? And what is the contract's current status as a consultant being retained again or will be in the near future. 
Unknown Executive: [Interpreted] Even though maybe the contract has expired, however, the related process keeps moving, and the whole process has been proceeded. So we don't think those consultant fee will be wasted. 
Unknown Attendee: I mean do you anticipate the spinoff will be finalized this year? 
Unknown Executive: [Interpreted] So first of all, the plan is to do the dual listing, it's a spin-off, which is two separate concept. And the related process is being proceeded in orderly. If things go smoothly, hopefully, the whole process can be completed by the end of this year. 
Unknown Attendee: Are you anticipating any new Kandi American acquisitions to be made before the spin-off will be consummated, for example, additional distribution and manufacturing facilities? 
Unknown Executive: [Interpreted] We don't have such a plan of consideration for now. 
Unknown Attendee: Was the consultant [ Patrick Cowen's ] company? Or is it someone else? And why can't you disclose that in the SEC filings? 
Kewa Luo: Are you asking who is this consultant line? How come we don't disclose in the SEC filings. 
Unknown Attendee: Yes. Yes. 
Unknown Executive: [Interpreted] Actually, for the -- as per SEC disclosing guidance, we don't have to disclose the name and the party of our consultants because they are not underwriter. Hope it addresses your question. 
Unknown Attendee: Understood. Can you comment on the impact of any of the recently announced tariffs on EVs and lithium batteries? 
Kewa Luo: I'm sorry, Steve. You're a little bit skipping your voice. Can you repeat the question? 
Unknown Attendee: Sure. Can Mr. Hu comment on the impact, if any, of the recently announced tariffs on EVs and lithium batteries that was recently announced? 
Xiaoming Hu: [Interpreted] So first of all, our golf cart product, which is one of the major revenue streams right now, is not under the scope of the electric vehicles. So that the 100% tariff will not impact the sales of our golf cart product. Secondly, the tariff of our lithium batteries has increased from 7.5% to 25%. We will try to respond by reducing the cost and some other expense cutting in order to make our products being the same competitors. 
 Finally, as for the UTV product, even though the tariff has not been announced yet at the moment, that we will consider using the [ CKD ] approach to producers and manufacturer and that electric UTV products in the United States in order to avoid the tariff impact. Hope it address your question. Thank you. 
Unknown Attendee: And then the picture that Twitter -- on Twitter that Kandi America [ posted ] on their site. It showed Kandi America folks posing with the mayor of Laredo, Texas with other locals in the middle of the field, not my curiosity, why did Kandi America post that image and what should we take from it? 
Kewa Luo: Can you repeat? The picture with who? 
Unknown Attendee: There was the Twitter Kandi America. They posted an image of Kandi America folks posing with the mayor of Laredo, Texas with other local... 
Xiaoming Hu: [Interpreted] Well, actually, it's just for us to explore the opportunities and possibilities. And currently, there is no very -- many concrete development for now. 
Unknown Attendee: Okay. And my last quick question is, [indiscernible], who currently is the CEO of Kandi America? 
Xiaoming Hu: [Interpreted] The CEO of Kandi America is Johnny Tai and I believe that such information is also disclosed online on our website. 
Unknown Attendee: Okay. The [ Barry ] golf carts had put out a press release and had referred to someone else. Thank you very much for your response. Appreciate it. 
Operator: Our next question is from Terry Mclemore with Mclemore & Associates. 
Terry Mclemore: Two quick questions. First one is, can you give us an update on sales that are international, such as the retailers internationally that we're selling our golf carts through? That's the first question. And then the second question, can you give us guidance for the rest of 2024, and I know I'm just asking for a best guess here and maybe also for the calendar year 2025? 
Kewa Luo: Let's go one by one. Your first question is... 
Terry Mclemore: Yes. International sales, who the retailers are, what percentage... 
Kewa Luo: International sales? 
Terry Mclemore: Yes. 
Kewa Luo: Okay. 
Unknown Executive: [Interpreted] Currently, we are trying to expand our sales to the regions such as Southeast Asia and then the European region. However, the scale is not big, but we are trying to expand down the road. 
Terry Mclemore: So no names that you can give us on that? 
Unknown Executive: [Interpreted] As for the sales to those regions, we just mentioned earlier, actually, we deal with them through the trading companies and agencies in China. So we don't really work with those channels directly. 
Terry Mclemore: Okay. Well, then can you give me any kind of guidance -- best guess guidance for the rest of 2024 and 2025? I know last year, you talked about maybe doing $500 million in sales in 2025, but that may be a stretch at this point? 
Xiaoming Hu: [Interpreted] We believe that the total sales of the whole annual fiscal year 2024 will be better compared to last year. As for the -- target for the 2025, we still try to impound the target to be $500 million, and we're trying very hard to achieve such goal. Thank you. 
Operator: Our next question is from Fred Bracher with Concor Investments. 
Unknown Analyst: Last week, Kandi America gave a peak on its homepage and Twitter page under Golf carts of the new $9,900 Kandi smile. Similar, by the way, to a modern-looking Kandi Coco. What markets do you anticipate this new Kandi will attract? And how big a market do you expect this vehicle to go in both golf and LSEV configuration? I have another question after that. 
Xiaoming Hu: [Interpreted] So first of all, this is a new type of products, it is in convertible format. And it is really most for recreational usage as cross-border golf cart utilization. For further specs and other details of the product, you may refer and stay tuned to the information to be disclosed on our website. 
Unknown Analyst: Also, are there other legacy vehicles such as Coco  that can be resurrected to as new generation EVs over the next few years? 
Xiaoming Hu: [Interpreted] Ongoing, we will primarily focused on our newly developed pure electric vehicles in the categories such as the golf cart ADV and UDV. 
Unknown Analyst: A quick question. Any intention to keep buying Kandi shares? 
Kewa Luo: You mean for the company? Buyback -- continued buyback shares? 
Unknown Analyst: Yes. 
Unknown Executive: [Interpreted] Correct. We will continue to do so to repurchase the shares of Kandi. 
Operator: Our next question is from Arthur Porcari with Corporate Strategies. 
Arthur Porcari: Thank you. Well, aside from the awesome news about the Lowe's NFL Kandi collaboration announced today, what, if any, new breaking news products surprises that Kandi have for us for this year that we don't already know about? On the last conference call, no less than 3x when criticized by shareholders for not sharing news on new products through press releases. And also a question about why Kandi doesn't follow the current trends reporting both GAAP and non-GAAP numbers, as most analysts prefer, we were told all this would be taken into future consideration. On each case, management reiterated that it could and would do better in the future. 
 However, not only has it not done better in putting out breaking news, but has also now extended at time since the last breaking news PR to over 6 months. The last breaking news PR, [ Cintani, ] actually put out by corporate was the NASDAQ News retrieval on the -- if you go to Nasdaq News Retrieval service, you'll see which title Kandi Technology Board authorized a stock repurchase. So I must admit the Kandi NFL announcement today was certainly breaking news and as much appreciated. Go ahead and pass that on, if you would, please.
 Okay. Since the last November [ TR, ] Kandi has expanded its currently available products from the original single Coleman model to now more than a dozen conventional golf/LSEV carts plus new patented mini and mini-sized carts along with at least 2 UTVs, a $3,000 GoCart, 3 high-end e-bikes. And that's only locations and products that shareholders have found from the retailers' own ads on the Internet with no help from the Kandi IR department. New products and locations are only discovered through Internet searches of sponsored ads. As witnessed by the current stock price, which has in the past traded at over $20 a share on a little cash in 1/3 of current revenues, management has lost a large amount of respect on Wall Street from its current and past shareholders due to the lack of giving updated information. For example, Kandi's added Walmart in Q4 '23, with potentially 4,400 outlets. [ Kemper's world ] 2,200 outlets, that's a New York Stock Exchange company. Costco Canada, approximately 190 potential outlets. PV Corp 290 outlets and [indiscernible] 120 outlets.
 This, despite its brilliant redefining of its conversion from EV autos to electric off-road business model into a primary player in especially a potential trillion dollar electric space. Actually, more than incredible considering it's been less than 2 years since Kandi introduced that first single golf cart and it is already positioned in the top 5 in North America and growing internationally. Shareholders are upset to the similar indifference by management and promises with [indiscernible] or should I say not [ worried ] about for new Wall Street investors. The fact is that based on year-end 2023 5-year record results, Kandi has by far the most fundamentally undervalued and profitable NASDAQ [ list ] to stock not trading at a 30% discount to its $2.90 cash, 60% discount to its book value and 35% discount to its net working capital. My questions.
 Okay. I got 4 questions here and a couple of just add on -- does management who own only 17% of Kandi's stock feel any concern at all that some Chinese entity could come, make a buyout tender offer and double the current [ $230 ] price and still end up buying Kandi the whole company at a discount to its $5 a share book value and additionally accomplish most of its heavy lifting by using Kandi's on $2.90 a share cash to steal that control. 
Unknown Executive: [Interpreted] So thank you very much for your concern. And a reminder, we will carefully evaluate and take appropriate measures to avoid such risk. Thank you. 
Arthur Porcari: Okay. That's not much of an answer, but let's go on to the next question. Why is management wasting shareholder value by paying for 3 different IR groups each month but not taking the good advice that I'm sure each has at times offered. And if that's not true, if they haven't offered that, that's a good reason to fire them all. 
Xiaoming Hu: [Interpreted] Currently, we only employ one IR firm that is the Blueshirt Group. So actually, we don't have very separate IR team. And because currently, company is in a period of the strategic adjustments to be more focused on the golf cart vehicles in the U.S. market, we still adhere to the idea that just to do more and talk less. As our strategic adjustment gradually take shape, we will be more proactive in making the related adjustments in our pronouncement and the IR approach. Thank you. 
Arthur Porcari: Actually, I think you do -- well, you certainly have 2, if not 3, because Kandi America seems to use a trained IR group. And sometimes that pops up the press releases, but most of the time does it as far as Wall Street new services are concerned. 
Kewa Luo: [Foreign Language] You said American trade? Is it the name of the IR? 
Arthur Porcari: I don't know whatever it is. An IR firm that Kandi America uses. 
Unknown Executive: [Interpreted] I mean I believe that there are some separate IR team we work on a contract basis for U.S. entities. But in the group level, we employ one IR firm dedicate of our public information with investor relationship purpose. 
Arthur Porcari: Well, I just find it hard to believe that with everything good that's going on after 15 years with Kandi now, where we used to do 40 press releases a year, now we're doing almost none when it comes to breaking news. I think it has to do with splitting up of the IR responsibilities, it seems like the parent company should be the one that put out the IR, just an opinion. 
Xiaoming Hu: [Interpreted] Yes. I think we will do the related adjustments on the road, and you will see the results ongoing. Thank you. 
Arthur Porcari: Okay. Onto my -- rest of my questions. Several years ago, management promised shareholders that once Kandi had a predictable growing revenue stream, the company would start giving revenue and earnings guidance, mandatory to attract analysts and institutions, particularly in this competitive stock market. Over the past 3 years, despite a much stronger balance sheet, Kandi's institutional holdings has dropped from a peak of 15% to 3.6%. Can management give any reason why it refuses to confirm to the Wall Street desire for guidance and also non-GAAP, in addition to GAAP numbers as it did in the last 2 quarters -- I'm sorry, they did in the last 2 years of the prior CFO's term? 
Xiaoming Hu: [Interpreted] Thank you for your suggestions. We will further evaluate and contemplate your suggestion opinion and implementing in our procedures. Thank you. 
Arthur Porcari: Okay. Last conference call, saw a response from Mr. Hu that some management would be considered personally buying back shares in the open market as they did 3 years ago when they paid more than double the current price personally and the time cash in the bank was but a fraction where it is today. Open market company share buybacks are appreciated, but due to Kandi's low daily volume, the 20% average volume maximum number of shares that can be purchased under the current 10b5 plan has been limited to maybe 15,000 or 20,000 shares per day.
 Why doesn't the company just make a straight $3.50 a share tender offer for at least 10 million shares of stock, which would only use 15% of its cash. I doubt it would be fully subscribed due to the stock quickly jumping above that price once shareholders realize management is serious about increasing shareholder value. Most importantly, such an action by an EV-related company in this specific market would get a lot of attention that one could not afford to pay for. 
Xiaoming Hu: [Interpreted] Thank you for your suggestions, and we appreciate that. We will take it into consideration and evaluate and react  properly. 
Arthur Porcari: Okay. Well, it's my formal questions that I had for you, but I have just a few questions on what was recently announced today and what we've said on the conference call. I might add that as I addressed earlier in my comments, we keep getting this same thing. We'll take under consideration, take under consideration. We've been hearing that for years now. But... go ahead and pass that on, and I'll go on to some follow-ups on the news that just came out.
 Okay. No, these are just some follow-ups on what's been said. Regarding the Lowe's 500 stores, I hold personally enough done in my Houston area, at least 3 blow stores and 2 of them I actually know the managers in that department, and they were under the impression that Lowe's had all 2,500 stores or whatever it is, all 2,400 stores available to be buying Kandi's products. But I guess it's good news if we've been doing what we have with only 500 stores. And I can't believe that this NFL thing that we're doing now isn't going to probably expand to almost all the stores.
 Well, that was actually a question, but... Okay. 
Kewa Luo: What's the question you've said? 
Arthur Porcari: Well, that was a question I had specifically about that subject that I was talking about the 500 stores if they had any further comments -- they probably don't have any further comment on that, but anyway, that's just what I've heard from the Lowe's managers. Okay. This one is interesting. I've said over the past few years, I chatted the company into how soon it would be able to pass Polaris. I think Mr. Hu made a comment on that a few years ago once we got involved in this industry, but what fascinates me is the missing link to Polaris is water sports. Today's press release actually mentioned we're getting into water sports. So I'd like more explanation what that's all about. 
Kewa Luo: I'm sorry, can you repeat your question one more time? 
Arthur Porcari: Okay. What I'm saying is that in the past, I had chatted management by kiddingly asking them how soon they could pass Polaris in this off-road vehicle industry. But the missing link at that time to Polaris is Polaris is well known also for its water sports. So my question is, today's press release specifically mentioned water sports as being a new product line you're getting into. Can you expand more on what that water sports is about? 
Unknown Executive: [Interpreted] So first of all, we try to focus on our own development of the new products, especially the electric the pure electric off-road and then the water sports product. We try not to compete with anyone, but try to focus on our own development. As for the water sports primarily now in the market, you may see the sports yard or the fishing yard, they are running in the gas, which is noisy and they were hurt the fishing the ambience. So we try to research and development into the new products of the pure electric water sports products. And hopefully, we can have more update to share when we have more on company development. 
Arthur Porcari: Are we talking wave runners here like Polaris has? Or are we just talking like motor -- electric motors for fishing boats? What are we specifically talking about water sports or both? 
Unknown Executive: [Interpreted] So currently, we are focused in developing those -- the water sports -- rather small scale like the fishing boat or the yacht for individual one-man yacht kind of scale of the product is our category of the R&D right now. 
Arthur Porcari: I assume you mean by 1 million yacht wave runners or jet skis? 
Unknown Executive: Yes, rather jet ski kind of stuff. 
Arthur Porcari: Oh, that's great. It's super. 
Unknown Executive: [Interpreted] So to be more specific, the Jet Ski mentioned, that's the comments that we have in the market. But what we're trying to do is rather not the jet ski, but rather it's like kind of the speed boat or the yacht kind of thing, so we can actually sit in there, but that's only for a one-person size. Is it clear? So it's not really jet ski, but rather the style of the boat or the speed boat kind of thing that only one emerging capacity. 
Arthur Porcari: That sounds like a whole new product line that probably... 
Unknown Executive: New product that we try to innovate -- and for the market. Correct. Just on the new style other than the common water sports product in the market right now. 
Arthur Porcari: So it would probably be a patented situation like the mini was that you released earlier this year. 
Unknown Executive: [Interpreted] That will be on patents. On patents. 
Arthur Porcari: Another one of our own patents, Okay, I'm just about done here. The potential is NFL collaboration to me is just incredible. I can't imagine maybe you should take off a 6-passenger golf cart and back off the back seat in it and put a part on 2 grow back there. It's -- people like to do that kind of stuff at the sports events in the United States over here. But anyway, that's just a comment. So let's see here. 
 Well, I guess the highlight of this was I'm glad to hear that 2025 estimate of $500 million is still a target of Kandi -- sorry about this, I'm sorry about the phone ringing over here. Anyway, as I said, I think that the $500 million 2025 number, should make a dramatic difference in the stock price. If we can just get the story out. One last question, too. You've mentioned that you're already in 10 more -- 10 big box chains already, if I understood earlier correctly, we only know about 5, at least that I'm aware of. So at some point in time, will we be disclosed who the other 5 are? 
Unknown Executive: [Interpreted] For now, we actually start working with those 10 different -- more than 10 different the retail partners at the moment, but then the scale may vary. Some are larger, some are rather relatively smaller. So we try to disclose one by one eventually on our Kandi America website. You can still see it on the vendor list -- I mean on the channel list. So for information placed on our website and down the road, we will try to disclose such information like the said channel, the retail partners we have more frequently and in more details. 
Arthur Porcari: Okay. Well, thank you very much. A little bit disappointed in the revenues this quarter, but you've done a big expansion and have lot involved in getting this stuff to roll out. But this NFL thing sticks in my mind as being something very huge for the latter part of this year and in the future years. But other than that, pretty good job. Thank you. 
Operator: There are no further questions. At this time, I would like to turn the conference back over to management for closing remarks. 
Kewa Luo: Thank you again for joining today's conference call. If you have any further questions, please don't hesitate to contact our IR, Blueshirt at gary@blueshirtgroup.com or you can contact us directly at ir@Kandigroup.com. We look forward to updating you on our next earnings call. This concludes our call for today. Thank you very much. You may now all disconnect.
 [Portions of this transcript that are marked [Interpreted] were spoken by an interpreter present on the live call.]